Operator: Welcome to the Southwest Airlines Second Quarter 2013 Conference Call. My name is Tom, and I'll be moderating today's call. This call is being recorded, and a replay will be available on southwest.com in the Investor Relations section. At this time, I'd like to turn the call over to Ms. Marcy Brand, Senior Director of Investor Relations. Please go ahead, ma'am.
Marcy Brand: Thank you, Tom. Good morning, everyone. Welcome to today's call to discuss our second quarter results. Joining me on the call today is Gary Kelly, our Chairman, President and CEO; Tammy Romo, Senior Vice President of Finance and CFO; Bob Jordan, Executive Vice President and Chief Commercial Officer and President of AirTran Airways; and Mike Van De Ven, Executive Vice President and COO. Today's call will begin with opening comments from Gary, followed by Tammy providing review of our second quarter results and current outlook. We will move to the Q&A portion of the call following Tammy's remarks. Please be advised that today's call will include forward-looking statements. Because these statements are based on the company's current intents, expectations and projections, they are not guarantees of future performance and a variety of factors could cause actual results to differ materially. As this call will include references to non-GAAP results, excluding special items, please reference this morning's press release in the Investor Relations section of southwest.com for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. And now I'll turn the call over to Gary for opening remarks.
Gary C. Kelly: Marcy, thank you very much. And good morning, everyone, and thank you for joining us. We are very pleased to report a strong second quarter earnings performance, and we had record earnings, record earnings per share, record revenues. The first half results are records as well. As with a year ago, we produced very strong operating and net margins and strong returns on capital. Our cash flow from operations was also very strong, and we were able to repurchase $251 million worth of stock, as well as quadrupling the quarterly dividend. The domestic economy was worse than what we had assumed in our second quarter plan. And really, that's for the fourth year in a row. Fuel prices were nicely below plan and that provided a nice offset at least. So to start with, I want to thank all of our employees for a very strong quarterly performance. I also want to thank them for the tremendous progress that we're making on our strategic plan and especially our 5 strategic initiatives. So just to mention those very quickly, as we have outlined in the press release, we're on track with our AirTran integration. We've got the networks connected. We've got city conversions well underway and aircraft conversions well underway. And the retirement of the Boeing 717s began this next month, also as planned. As far as our All-New Rapid Rewards program that we've rolled out in 2011, we're continuing to see very strong results and a very strong performance from that new program. On the 737-800 front, we have 43 of those units on hand in the fleet as of the end of the quarter, on track to hit 54 by the end of the year. They are performing as expected, producing higher than system load factors, which is a real tribute to our scheduling. And for the quarter, they were a meaningful profit contributor, also ahead of our plan. Next, we have our fleet modernization initiatives, which, for the second quarter, was principally the Evolve retrofit on the -700s and the -300s. And that was also a very significant contributor and also ahead of plan. So all told, the fleet modernization initiatives, along with the -800s, contributed $89 million of incremental revenue in the quarter. And then finally, our initiative to implement a new reservation system, beginning with international reservations technology, continues. It is right on track and planned for implementation in 2014. We have a major technical milestone on that project this fall, and I suspect we'll provide a more in-depth update on the project at that point. The only 2013 project that is off track is our O&D revenue management system. Technology was delivered on time as planned, but the results from that new product are not what we really want and need. So we're redirecting that effort and still expect to drive a significant benefit, but not until we have a revised approach with that in 2014. So having said all that, again, the economy has been worse than what was assumed in our plan. That has impacted our performance, and it may continue to, and that simply reinforces our very careful outlook with regards to capacity and fleet expansion. We lowered our expectations regarding 2014's available seat miles, for example. We have significant opportunities to grow the network after next year, with the repeal of the Wright Amendment and the introduction of international capabilities. And of course, those opportunities are in Dallas and in Houston and really to all points in North America. So our financial priorities continue, and they are to achieve and sustain a minimum of 15% pretax return on invested capital, reduce our balance sheet leverage and maintain investment-grade credit ratings, maintain a total liquidity, on average at least, of $3.5 billion, including our line of credit, and of course, continue to enhance shareholder value. So with that very quick overview, I'd like to turn it over to Tammy Romo.
Tammy Romo: Thank you, Gary, and thank you, everyone, for joining us today. In spite of the weak revenue environment, our second quarter net income, excluding special items, of $274 million was a record performance. Our earnings per share of $0.38 was in line with consensus expectations, and that's up 6% from last year's record results. To achieve these results with all the strategic initiatives we currently have underway took much hard work, and I would like to join Gary in recognizing our employees for their outstanding efforts during the quarter. Our revenues for the quarter were an all-time high and benefited significantly from our strategic and other initiatives. We realized $95 million in net synergies during second quarter from the AirTran acquisition, with approximately 2/3 of that coming from net revenue synergies. With the connecting capabilities now in place, we have significantly strengthened our ability to optimize the Southwest and AirTran networks. Second quarter earnings included $40 million from incremental code-share revenues, and we were obviously pleased with these results. Thus far, in July, we are also very encouraged by the bookings on new itineraries created from the ability to connect and sell across both networks. Business Select revenues were approximately $20 million, and we recognized approximately $17 million in incremental passenger revenues from our Rapid Rewards program. We're on track with our expected $300 million EBIT improvement this year from our fleet modernization efforts, with close to half of that already realized in the first half of this year. Wright Amendment revenues were also strong, producing $75 million in the second quarter. So overall, very pleased with the second quarter benefit from our initiatives that largely contributed to our record revenue performance. On a unit basis, our revenue trends declined in the 2% range compared to second quarter last year on a 3% increase in ASMs. The increase in capacity was primarily a function of our increased gauge on our aircraft in conjunction with our fleet modernization efforts. While the 4% year-over-year increase in our seats per trip put pressure on PRASM, the significant unit cost benefit is driving our expected EBIT improvement. In response to weak industry yield environment, we launched aggressive sales to stimulate demand and that led to record second quarter traffic and strong load factors, with the yields down just a little over 2% versus second quarter last year. The weakness in yields are really across all fare categories, but our business travel trends, measured by close-in traffic, were clearly impacted. However, unit revenue trends did improve nicely throughout the quarter. April was down year-over-year 4% to 5%. May was down 2%, and June was close to down 1%. For the month of June, trends in the back half were stronger than the first half, and trends have strengthened further here in July, with the July 4 holiday being particularly strong year-over-year. Based on current bookings, we expect July's unit revenues to grow 3% year-over-year, and current bookings for August and September also were good. But please keep in mind, year-over-year comparisons will be impacted by the timing of Labor Day in this year. Shifting to freight revenues and other revenues. Our freight revenues were also at record levels, benefiting from increased fuel surcharges and expanding our cargo network with the introduction of Southwest cargo on AirTran flights during the second quarter. Other revenues decreased 3.1% year-over-year, primarily due to lower AirTran fees as we continue to transition the AirTran network over to Southwest. EarlyBird revenues increased 30% year-over-year to $52 million, and we recognized $83 million in other fees, including $4 million from A1 through A15 premium boarding positions at the gate. We currently expect our third quarter 2013 freight and other revenues combined to decrease from third quarter 2012. Turning to fuel. Our second quarter economic fuel price per gallon was $3.06 per gallon, which was in line with expectation, and this was 5% below second quarter's -- second quarter of last year's $3.22 per gallon, and that was driven primarily by lower jet differentials as the decrease in Brent was offset by the increase in crack spreads. Our ongoing fuel conservation and fleet modernization efforts improved our second quarter fuel burn by approximately 4% and lowered our second quarter fuel cost by approximately $50 million. Our second quarter hedging premiums were $12 million as we expected. And for third quarter, we're approximately 80% hedged, with 70% of our positions at varying Gulf Coast jet fuel equivalent prices and the majority of our protection beginning at $3.10 per gallon. Our fuel hedging premium cost for third quarter is estimated to be approximately $22 million. And based on market prices as of July 22 and our third quarter hedge position, we currently expect our third quarter 2013 economic fuel price to be in the $3.05 to $3.10 per gallon range, which is well below what we assumed for our third quarter fuel price in our 2013 plan. For the full year, based on fuel derivative contracts and current market prices, our 2013 forecasted economic jet fuel price per gallon is $3.10 to $3.15, which, again, is well below our 2013 plan, which was $3.25 to $3.30 range. And our total 2013 premiums are still estimated to be approximately $60 million, so no change there. Our unit costs, excluding fuel special items and profit-sharing, increased 1.7% year-over-year, and this modest increase is noteworthy considering the investments we are making through fleet modernization and our other strategic initiatives. Clearly, our efforts to control our costs in accordance with our 2013 plan are working. The year-over-year increase that we saw was primarily driven by increases in salaries, wages and benefits and airport costs, and that was partially offset by lower maintenance expense. Our Evolve retrofits contributed less than 0.5 point to our second quarter cost inflation. And with our 700 retrofits now complete, the second half of this year will experience minimal cost pressure related to our Evolve retrofits. Based on current cost trends, including our fleet modernization and other cost control efforts, we expect our third quarter unit costs, excluding fuel, special items and profit-sharing, to increase slightly from third quarter's 2012 $0.0772. This tracks in line with our 2013 nonfuel CASM plan that assumes a 1% year-over-year increase on our nonfuel unit costs, excluding special items and profit-sharing. On the nonoperating cost side, our net interest expense declined year-over-year, primarily as a result of continuing to pay down debt, a trend we expect to continue in third quarter. Turning to the balance sheet and cash flow. We had strong cash flow generation during the quarter to end with $3.4 billion in cash and short-term investments. Through the first half of 2013, we generated over $1 billion of free cash flow. And in May, we made several announcements that acted on what we communicated at our December Investor Day in regards to our focus on aggressively managing our invested capital and seeking ways to return value to our shareholders with our cash flow generation. As Gary mentioned, our Board of Directors quadrupled our quarterly dividend and increased our share repurchase authorization to $1.5 billion, and the authorization included an accelerated June repurchase program which was completed in June. Our repurchases under the ASR program totaled $250.5 million or approximately 18 million shares. Through the first half of 2013, we returned $394 million to shareholders through share repurchases and dividends and over $1 billion since May 2011. We made approximately $50 million of debt payments during the second quarter, and we have approximately $100 million in debt and capital lease scheduled payments for the remainder of the year. Our $314 million of total debt payments planned this year includes $139 million of prepayments for AirTran's aircraft backed secured loans made this year. Based on our scheduled debt payments, our leverage, including off balance sheet aircraft leases, is expected to decline to the high 30% range by year end. And there has been no change to our 2013 capital spending forecast, which remains in the $1.4 billion range. Before we open it up for questions, I'll provide a quick recap of our fleet and capacity plans. Thus far, we've taken delivery of 9 of 18 planned -800 firm orders and 2 leased -700 aircraft. And on the retirement side, we are still expecting to transfer 16- 717s to Delta this year. And combined with our Classic retirement schedule, we continue to manage to a relatively flat fleet. On the capacity side, we continue to expect our 2013 available seat mile capacity to increase modestly in the 2% year-over-year range. And for 2014, we currently plan to keep capacity in line with this year. We're on track with our plan to implement Southwest international reservation system by the end of next year, and we will then be able to complete the transition of our AirTran -700s while continuing to transition the 717s out of our fleet, all this while continuing to retire our less fuel-efficient Classic fleet. Overall, 2014, we'll see a lot of movement within our fleet composition. However, we remain focused on keeping our fleet relatively flat in 2013. In conclusion, we're making great progress on our 2013 plan. And while revenues in the first half were softer than planned, recent revenue trends are encouraging. Our strategic initiatives are largely on track with our 2013 plan with one exception: migration of the O&D revenue management system has begun as planned. However, we're not yet fully comfortable with the results being produced versus our current method. So we've chosen to continue our cautious rollout in a way that is even more gradual than we originally anticipated. As a result, we're currently expecting sizable incremental revenue benefit to fall in 2014 rather than 2013, which is what we originally planned. That said, our 2013 plan assume many of our other strategic initiatives would contribute more significantly in the back half of this year. Further, our efforts to control our unit costs are working, and fuel prices remain below last year and below our plan. Again, our 2013 plan assumes fuel prices higher than we are currently running and a stronger economic environment than we've experienced thus far. Together, these trends have created a potential shortfall against our plan. While our outlook on the second half of the year is encouraging, our first half results were significantly impacted by the economic weakness, which makes our ability to achieve our 15% pretax return on invested capital plan this year more challenging and less likely. However, we are not giving up nor losing focus on our plan. And our expected results for the first half of the year, while short of our plan, are solid and provide great momentum. Based on our current outlook, while we may not hit our 15% by year end, we are making excellent progress, and we will not stop until we reach our goals. And with that, we're ready to take questions.
Operator: [Operator Instructions] We'll now begin with our first question, which comes from John Godyn with Morgan Stanley.
John D. Godyn - Morgan Stanley, Research Division: Gary, in some of your remarks, you kind of mentioned a pattern of sort of economic weakness weighing on results and surprising you. I'm just curious, when you think about the customer segment that you serve, the nature of that segment, do you get the sense -- or do you have the feeling that there are any kind of structural or secular kind of overhangs on that segment in particular within the context of the economy? Because after all, we have seen positive GDP growth. It's admittedly been sluggish, but has been positive for the last few years. And we have seen it seemingly weigh on Southwest a bit more than peers. So I was just hopeful that you could kind of comment on that and maybe give some perspective.
Gary C. Kelly: Yes. Thanks for the question. I -- well, first of all, I guess, just taking some of your thoughts in reverse, I wouldn't agree that it's weighing on Southwest any different than anybody else. There's a long string of years, including most of the 4-year period that I was referring to in terms of the economic sluggishness where we outperformed the rest of the industry. And I think Tammy mentioned in the way that you're thinking about how we compare right now, just make sure that you take into account the increase in the seats per departure that's going on right now. So that's a good 4% to 5% increase and creates at least an arithmetic drag on RASM comparatively. So the only point of all of that is, I don't see that we're out of step at all with the industry. If anything, over the last 5 years, we've outperformed. With respect to what secular changes might be taking place right now, I don't know that I really see anything going on there. At least what we can report to you is that our trends were very solid and stable on unit revenue growth perspective, dating back to, I would call it, September as a starting point and all the way through most of February. And then we were off of our sequential trends, taking into account seasonality and the timing of Easter holidays, et cetera, beginning in March, and we really haven't regained a trend relative to that previous period since. Now we've seen some encouraging signs here in July. But Tammy, I don't know that I would say that July, relative to June, is a lot better than our normal June to July trend over history. So it's -- even though we're seeing a nice comp to a year-ago July, it's not like the June, July trend is spectacular. I think the weakness is twofold. I think it's both in the government/business travel segment, as well as consumers. So we had a record monthly load factor for the month of June at 85%. But Bob Jordan and his team had us on sale quite a bit to drive that traffic. So I guess the bottom line, John, is no, I don't think there's anything that's all that's unique going on here. I think relative to a longer-term comparison, maybe 10 or 20 years, there's no question that the traffic in short-haul markets is less today than it used to be. So I think that's probably the only thought that comes to mind about a secular change. And I'm not ready to predict that the short-haul markets won't show improvement in the next decade. But clearly, the growth within the airline business over the last decade has been in longer-haul trips, which is why we are pivoting more at Southwest towards longer versus short trips. And the medium-haul markets, sort of around 1,000 miles, interestingly enough, are relatively flat over the past 10 to 15 years. So absent that, which I would attribute more to increased fares because of increased fuel costs, I don't really see anything going on right now that would suggest some dramatic change. We've got the federal sequestration and other debt ceiling fight looming, and I think we've all got to be very mindful of that and assessing what happens to air travel demand. So all of that uncertainty, along with higher taxes this year, I don't think it's any shock. As you said, I don't think it's -- actually, we weren't shocked that the GDP was weaker. Our point was simply that we built a -- an annual plan. We have to make assumptions, so we made an assumption about the economy. We made an assumption about fuel prices. And one of those is a good guy and one of them is a bad guy relative to our plan.
John D. Godyn - Morgan Stanley, Research Division: That's very helpful. I'm just curious. I think it's fair to say that your average customer is a bit more price-sensitive than maybe the average customer of a legacy airline. Do you think that degree of elasticity is potentially kind of a headwind on the margin when we find ourselves in a situation where the industry price umbrella continues to go higher? Is there kind of a volume drop-off that we need to think about as those prices go up that might impact you more than others? Just your thoughts there would be helpful.
Gary C. Kelly: I don't know, John. Again, I don't know that I'd buy that, at least in 2013. Maybe that argument made more sense in 1975. But fares aren't cheap for a lot of Americans. And so -- even though we're a low-cost, low-fare carrier and that could be where a lot of the short-haul traffic has gone. So we're the largest airline in America by a wide margin, so we have a very broad appeal across the United States. And I just don't see the argument that our customers are more price-sensitive. By that definition, we -- I think you would see a lot more volatility in our traffic. We can get the traffic as we can prove. We grew our available seat miles 3%, and we filled them up there in June. So I think bottom line, no. Now in a more macro sense, we -- you and we know that we're a low-fare brand, and we work harder to be lower than everybody else. And close to the majority of the time, that's going to be the case when people shop for Southwest Airlines. But those are still fares that -- they're just not as low as they used to be for all the reasons that we know.
Operator: And we'll take our next question from Helane Becker with Cowen and Company.
Helane R. Becker - Cowen Securities LLC, Research Division: So just this one question. Do you prefer higher yields or higher load factors?
Gary C. Kelly: I think that one's easy. I think because we're a -- we start with serving our customers and think of ourselves as a low-fare brand, clearly, we want to be the lowest fare going. I think all of us would admit, if you ask Mike Van De Ven, our operator who's sitting here, he would say it's certainly easier to manage an operation when the airplanes aren't quite as full. But that -- I think that's probably overthinking it a bit, and clearly, we want to be the low-fare brand with the best customer service. So we like full airplanes.
Helane R. Becker - Cowen Securities LLC, Research Division: Okay. And then -- so then you would prefer higher load factors would be your -- kind of your answer, right?
Gary C. Kelly: Yes.
Helane R. Becker - Cowen Securities LLC, Research Division: Yes. And then can you speak to -- I think your comment that you're, by far, the largest airline in the U.S., can you speak to regionally what you're seeing? Is there like -- ergo, are you seeing better strength in your, maybe, core Dallas, Texas, West Coast markets than you're seeing in the Northeast or other markets? I mean, is there something that maybe you see shares shifting or something like that, that would account for some of your, maybe, disappointment on your first half?
Gary C. Kelly: No, no. I'd -- and again, my disappointment is in the economy. The -- in terms of what -- I think we would be comfortable sharing, for competitive reasons, the markets that are in more of a transition from AirTran through some step process into Southwest. Those are the ones that are in more development. So if you think about the Atlanta, Baltimore, Milwaukee where there's a lot of change taking place, those markets are not performing as strong as markets that aren't affected by that kind of transition. That's very clear. The other thing that I would mention is that, and we've shared this before, the government travel, which is defined -- I'm defining as a customer flying on the government fare, so it's something that we can readily identify, that traffic is down dramatically. And Bob, I think you said as much as 50% at times. So I think a rule of thumb, Helane, would be down 35%. So there are markets where we do see some weakness along the East Coast where you can sense that there's a lot of the military or government travel beyond what we can actually track on the fare, and that does seem to support that. But I think we all know that sequestration is real. I spend a lot of time in Washington and they are definitely managing through cuts. And beyond that, I would say that the regions look pretty consistent across the country.
Helane R. Becker - Cowen Securities LLC, Research Division: Okay. The only other question I have is in -- is I think you guys have $1.5 billion share repurchase program in place, right? I don't know how far you are on it. But that's 15% of the market cap of your company. And yet the market doesn't seem to care. They don't seem to react to that, maybe. So maybe a dividend or a bigger dividend is more of the right answer. I don't know. What do you think about that?
Gary C. Kelly: I've got a lot of thoughts on that. First of all, the stock is up nicely in a 1-year period, so there has been a move. Pinpointing it to the cause is probably multiple reasons for that. But number one, the stock has performed over the last 12 months. We're managing our balance sheet. We're managing our liquidity. And it is a -- what you're saying is true. It's a testament to the strength of the -- the financial strength of the company. And through the toughest of times, we've been able to repurchase how many shares over the past 5 years? 100 million? I mean, there is a significant amount of shareholder value that's been created. And Helane, again, when you say that, you look at our valuation relative to our peers, and the valuation is still very strong at Southwest Airlines. So I wouldn't conclude that we're not being rewarded. And it's just a matter of -- as to our shareholders being rewarded enough. We do have a $1.5 billion share repurchase. We've done about 2/3 of that so we've got about $500 million to go. I think all that is in the release, maybe it's $525 million or so.
Tammy Romo: Yes, yes, we're at $976 million or 100 million shares.
Gary C. Kelly: Right, so we've got $0.5 billion plus to go. We have, as you know, we have increased the dividend in 2 steps. We've been paying a dividend at Southwest since the 1970s. We've stepped it up about -- I think we've doubled it last year. I know we've quadrupled it this year. So the yield is very respectable. It's over a point, somewhere in the 1.2, 1.3 range. But -- so that's just the background to your question. I think the answer specifically is we're going to continue to monitor both of those, and with the primary focus being on hitting our return on capital. We're being very aggressive in the way we're managing the invested capital of the company on the denominator side and have some very nice opportunities here to modernize the fleet and still access the preowned market, which is just a lot more capital efficient these days. Plus we'd love to take new deliveries from Boeing once the MAX is available. So all those levers are being monitored and pulled where we can. And like Tammy summarized, I think we're making outstanding progress. And I think our folks are doing a great job on all those fronts.
Tammy Romo: Helane, I wanted to make sure you have all the numbers that you were wanting there. Just to summarize real quickly, under our $1.5 billion authorization, we're at $976 million, which is 100 million shares. And over the last 5 years, we're at 220 million shares.
Gary C. Kelly: Great, okay.
Operator: And we'll take our next question from Mike Linenberg with Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: Gary, I want to go back to -- you made the comment on the O&D system. I guess the implementation didn't go as well, and then it won't be ready until 2014. What -- when in 2014? And can you just elaborate on that, like, what happened? Or was it just the rollout, it meshed with your system or...
Gary C. Kelly: Yes, I'd love to, and again, I think the -- and Bob Jordan is going to describe this, but the way we think about it, Mike, is the technology was delivered, but it's not a technology or a system thing. We're trying to change from a segment-based revenue management system to an O&D revenue management system and with the understanding that going to O&D dramatically complicates the predictability of the revenue. And so I'm going to let Bob talk about that for a few minutes and at least perhaps explain better what pieces we are confident that we can deploy as we continue to, I would call it not experiment, but just run in parallel the segment system compared to the O&D system. Right now, in other words, it's not a failure. What we're proving is that our current system works actually very well and better than the new system, although again there's some really good things that we want to get from the new system. So Bob, you want to answer Mike's question now?
Robert E. Jordan: Mike, the O&D system is really a couple of things. There's a new forecaster, so that's the ability to provide better data on just demand, and that piece is going really well. We're seeing at least what we expected or maybe even a little better in terms of having better data to predict the demand, and then therefore, obviously managing that better and producing a better result. So that's going very well. The second piece is then using that data to now manage, as Gary said, the flight demand on an O&D basis versus a segment basis, so use the new system to manage the inventory buckets and all that. That's a piece that's a lot trickier, and there's a lot of science in it. And we've got a number of dates that are being run by the new system. And we just want to watch across the demand curve, be a little cautious here and make sure that the new system is managing the inventory buckets and at the end of the day, producing a better result than our current system. A lot of what it's doing is validating that the current system is pretty darn good, but I've got confidence that the new system will be even better. We just want to be cautious here because there's a lot at stake. And we've got a number of days in test. And so I do expect a modest benefit here in 2013 and then the full benefit we've talked to you about before in 2014. So I expect this fall we'll see those test dates prove up and then we'll move into a broader implementation here late this year and early in 2014. But the larger driver of the value, actually, the better forecaster and that part is going very, very well.
Gary C. Kelly: Mike, I think one of the challenges that we were warned about is that our O&D combinations are -- they're not infinite, but they are so great and so complex compared to a hub and spoke carrier, that -- and we're finding this. We're finding that we're just not certain yet that, that aspect of this technology will prove to be better than what we've got. But like Bob was saying, there are some wonderful pieces of the technology that will prove to be beneficial and will be deployed. And whatever Tammy say is that we think the value is still what we have hung our hat on here, which is, I think, $100 million.
Tammy Romo: That's right.
Gary C. Kelly: It just won't come now until we take a little bit different approach with the deployment of the system, and the benefits simply get deferred to 2014.
Michael Linenberg - Deutsche Bank AG, Research Division: Yes. Gary, I would say I don't think there's ever been an O&D system adopted by a carrier with as dense a route network as yours.
Gary C. Kelly: You are exactly right, sir.
Robert E. Jordan: That's exactly right. We're really first primarily point-to-point carrier trying -- making the move to an O&D system. So it's -- it is very complicated.
Gary C. Kelly: We may be able to get 80% of the benefit, in other words, without going full up on O&D. But anyway, we're working through that and I'm -- what you haven't had happen is the Classic airline bust by moving to the new system. So we haven't done that, and obviously, I'm very pleased about that.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay. Then just one second one. You talked about a milestone technology that you would achieve in the fall, but maybe it's something you can't elaborate on. Or can you tell us what that's about? Or is that under wraps?
Gary C. Kelly: All I meant there -- no, no, I was talking about the international system and that we have a major technical milestone related to that this fall. And I think that would be an appropriate time for us to consider a more robust update for you all. Right now, we haven't told you a whole lot about the system or about when things will be sold and flown, et cetera, and it's just a little bit premature for that. But we're making good progress, right along our time line. If we meet that milestone in the fall, it will obviously be up to Tammy, but that's the next major event with that project.
Operator: And we'll take our next question from Hunter Keay with Wolfe Research.
Hunter K. Keay - Wolfe Research, LLC: Hey, I want to ask you about some of the activity you've made on the -- some of the change you've made on the AirTran network on the fee side since December. You announced some higher bag fees for AirTran there. And then just last month, you raised change fees at AirTran. I'm wondering if you could tell me sort of what you've seen in terms of changes -- some behavioral changes since those fees came on. And maybe at a higher level, are you experimenting here? Or if not, maybe just help me explain sort of the rationale for trying something like this.
Gary C. Kelly: Thank you, Hunter. I think, no. I'll just again kind of take your points in reverse. No, we're not experimenting. I think what we are -- well, simply, what we're doing is managing 2 different brands on this -- during this transition period until we can ultimately fold AirTran into Southwest. Now having said that, I would agree with the direction of your thought, which is there are things to be learned by having a different brand and having fees. And clearly, we're trying to make those -- provide those insights and make those assessments and judgments while we have AirTran operating separately. The other noise though, Hunter, that's taking place during this year is we've now connected the networks. And if you -- because of the Southwest brand and the no fees approach, if you do -- would have -- if you understand it, I'm sure you do, the code-share. So on the marketing carrier side of this, we don't charge those fees. So you do have AirTran itineraries booked through Southwest where there are no bag fees any longer. And that is really distorting the -- you don't have a clean laboratory environment here to evaluate the revenue potential from a bag fee, in fairness to your question. Now trying to go back in time a bit and evaluate AirTran performance with fees versus Southwest performance without, there's no question that the Southwest without approach has been superior. And that was one of the main value drivers in acquiring AirTran in the first place, is that they underperform on a revenue basis compared to Southwest, and that's certainly proved to be true since we've owned them.
Hunter K. Keay - Wolfe Research, LLC: Very helpful. And a question for you as to sort of how you hedge fuel. Do you -- I noticed you've loaded up on the hedges a little bit after the first quarter. You kind of went through the year without much hedge protection. Do you decide to buy more hedges when you see weakness in your demand, sort of with the anticipation that weaker bookings are going to sort of forecast a weaker energy price environment or vice versa? Because it feels like the hedging strategy some is pretty dynamic. Do you look at the 2 together? Do you look at one as the leading indicator of the other?
Gary C. Kelly: No. I think it is simply trying to -- again, the industry has an array of risks, and we try our best to identify what the enterprise risks are and then deploy mitigation techniques that are cost-effective. We have a hedging program, which philosophically is viewed as insurance. So we try to spend no more than what we would spend on aviation insurance coverage in terms of premiums. And that's a significant element of answering your question. And then just like we do in insurance and what you would do at home, if insurance is cheaper, it's an opportunity to buy more. If you want to think about it that way, it's certainly the way we manage our aviation insurance. When it gets more expensive, then you might try to manage that cost by taking on a little bit more risk. Said simply, you might have a larger deductible. So we'll think about hedging opportunities in that way. I don't see that they are as directly linked to the revenue environment for one simple reason. We're in the business of flying airplanes. We have to have jet fuel to fly. So it's not a reach to say that we know we're going to be buying jet fuel in 2014, and therefore, we ought to be looking for opportunities to protect ourselves on price. We are in this wonderful environment right now where the market is significantly backwardated [ph]. I'm not enough of an expert to -- I'm not an expert, but I'm not enough of a student to know whether this is a record level of backwardation, particularly with the Brent market, but it does present interesting opportunities if you go out into the futures market. The 2013 was real simple. We went through a roller coaster already this year. And I bet you our fuel price budget -- no, not budget, but forecast for the year has swung well over $1 billion from peak to trough. So we had opportunities to load up some coverage at a very low cost and protect our AOP, if you will, and that's what you saw taking place, I suspect, from some point to some point. But yes, we're 80% hedged here in the third quarter, and I believe, Tammy, we're 85% in the fourth?
Tammy Romo: That's right. And one other thing, just a note to -- in response to your question, Hunter. We did, as you pointed out, we did lighten our fuel hedge for the third quarter to 80%. And with that move, we locked in a $0.01 gain, which is, of course, reflected in the guidance that we gave you.
Operator: And we'll take our next question from Duane Pfennigwerth with Evercore.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Tammy, have you given us your expectations for 2014 CapEx?
Tammy Romo: We've given you our aircraft CapEx, which is $1.2 billion.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: And what do you typically assume over that level?
Tammy Romo: Well, what we have here in 2013, we haven't given you 2014's, but just as a benchmark, we're about $0.5 billion here in 2013. We'll confirm that out for you later this year.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Appreciate that. And I just want to ask you, it's not a big needle mover in terms of revenue, but I believe you had announcement around live TV in the quarter. And if I follow this logic correctly, at one point, you were charging it -- charging for it along with WiFi and then you moved to sort of a free model with a partner there, so that probably cannibalizes some from your WiFi product offering. I'm just wondering, how do you think about sort of that value proposition to the customer? It seems like it could be an opportunity to charge for something. And how do you think about sort of giving more value and what does Southwest get in return?
Gary C. Kelly: Well, the -- first of all, I think we did about $5 million in revenues, and that doesn't speak to the cost of providing the WiFi during the quarter. So there's a $5 million revenue benefit, and that was a significant increase from a year ago, although again, it's still a relatively small number. And so it speaks to the point, which is the take rates are still are pretty modest. The live -- our TV offering is a promotion, so we are not telling you that it is free into infinity. And that is a partner arrangement that we have with DISH. So it is obviously intended to drive trial and the television product is awesome. So I think we're hopeful that people will try it and like it. And we're not speaking today as to whether or not it will be free into infinity or even in to 2014 for that matter. So hopefully, that answers your question.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then just with respect to Atlanta, you're probably reluctant to give us this, but can you talk about sort of unit revenue growth in Atlanta versus the rest of the system? And then just use your footprint there today, how much supply are you taking down in the back half? And when does capacity cutting in Atlanta stop?
Gary C. Kelly: Sure. No, I won't answer the question about Atlanta specifically as to how it's performing. However, I will certainly tell you that it is very much in development and transition. So we have taken steps to begin the de-hubbing process and that is sometimes painful to work through because you cut off flow, as you well know. And then Bob has already published a schedule for November, which takes that final step, if you will, in AirTran to move the flight activity to be throughout the day rather than concentrated into 2 major banks. And so there is sort of a complete un-hubbing at that point. We still have a lot of connecting passengers, but it will be a shift to much more heavily weighted towards nonstop passengers. So our capacity plans are pretty well-known, I think, Bob, based on that. And what we will do with Atlanta after that will be dependent upon the results, obviously. But -- so I can't -- at this point, I'm not really ready to handicap whether the flight activity goes up, down or stay the same. But at least with this initial step that we're taking in November, the total flight activity, Bob, is what...
Robert E. Jordan: Yes, our schedule is this fall in the 165 to 170 flights a day, which is not significantly different than what we've had in the market for a while now. What's different again, as Gary mentioned, is the type of schedule. So we're moving to much better local timings rather than a hub structure that has a lot of flights late in the day and very early in the morning. So it should be much better for the local market. But the overall flight schedule on that 165 to 170 is not a lot different than what we've had for quite a while in Atlanta now.
Gary C. Kelly: And makes it very consistent with where we are in Denver, where we are in Phoenix. That's quite a bit larger than where we are in Dallas and actually even Houston, which is an original city also. So that's a lot of flights, and I think it will have a much improved schedule here beginning in November.
Operator: We'll take our next question from Savi Syth with Raymond James.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: On the -- connecting the network side, it seems like there is some operational hiccups associated with it maybe on the bag losses and maybe some customer unhappiness if you book through Southwest versus if you book through AirTran. Wondering if you could quantify what the impact from that has been? And have you been raising any AirTran fees as a result of operational issues?
Gary C. Kelly: I wouldn't accept any of that. I think that in terms of having an interim code-share or a network connection for the vast majority of our customers, what we offer works just fine. As per usual, when we have irregular operations, in other words, flight delays or cancellations which happen infrequently, then it is more challenging. But on the whole, it's worked out extremely well. So no, we're not losing any more bag -- I mean, it is an undetectable effect of the issues that we have, understanding that every day we have delays and cancellations and bag challenges. So there are a few more with this interim product, but nothing of anything that concerns us. And yes, there has been some media attention to that lately. But again, that is a very, very few number of customers that are affected.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Okay. And then on the -- just a follow-up on the Atlanta question. What's the -- what should we see after this November implementation of the new schedule? Like, where should we see the -- how should we see the improvement in the earnings?
Gary C. Kelly: Well, I think Atlanta has opportunities to improve. It is not optimized today, nor is BWI or Milwaukee or Orlando, which are the 3 other major overlap points. So all of those markets, as we continue to optimize the schedule and transition flights out of the old AirTran approach into a new Southwest approach, we'll probably have some risk that in the short term, those markets will take a dip, especially if it's a new city pair that -- in other words, just because we're switching flights from AirTran to Southwest doesn't mean it's the same flight. It could be a brand-new city pair, and we could be discontinuing a city pair that AirTran had. So it may take a dip, and we see that as new developing market. But our expectation is that they're going to develop very quickly, and that's what we were referring to in the press release.
Operator: We'll take our next question from David Fintzen with Barclays.
David E. Fintzen - Barclays Capital, Research Division: The -- just tell me about the RASM and fully appreciate the sort of economic baselines are pretty volatile here. So maybe coming at a -- if I think about the second half, you've got the up-gauging sort of drag that you referred to which I would think of largely in the run rate. You have the code-share benefits and some of the positives from the initiatives. As we look at 3% July, who knows where exactly domestic ATA or A4A will shake up? But is that relative performance kind of how we should think about the balance of the second half? Or is the bad guy -- does the bad guy of up-gauging sort of offset the good guys in OpEx and RASM? And just kind of help us think through the relatives to the industry because, obviously, the baseline's changing and in terms of the economy, it will probably change if not again, multiple times by end of the year.
Gary C. Kelly: We probably ought to let you just work with IR on that as time goes by here, too, because I think there are a couple of moving parts. But the seats are the big things that's different, and I don't think it's immaterial here. I mean, it's a point or 2 effect on RASM. So it -- and I'm talking about within Southwest RASM, so it is comparing, for example, second quarter '13 versus second quarter '12. But it also distorts somewhat the comparison between our RASM change compared to the industry. So there's a couple of thoughts there. Now I think what Investor Relations could help you with is how does that ongoing year-over-year seat density, to use that term, how does that play out over the next couple of years? And we can certainly do that. But you're going to continue to see an increasing mix of 800s. You've pretty much got the full up effect of converting to the Evolve seats. But remember now, we're just now going to start retiring 717s and replace those with 20 more seats in terms of 737s. So this is going to play out over a while. Having said all of that, what we're seeing so far in July is 3% unit revenue gains, and we feel pretty good about that. And the other thing to take into account, and Tammy made this point, is that, yes, there's a RASM effect. But just because the arithmetic shows that, doesn't mean it's a bad thing because there's also a CASM benefit, and we're very confident that we're seeing a margin expansion because of the up-gauging. And that's the important thing to note. So I just need to make sure you got them both working in tandem in the way you model. And the good news is we're seeing really, really strong RASM, especially considering that kind of a drag.
David E. Fintzen - Barclays Capital, Research Division: And -- but another way to come at it, the initiatives that are obviously very -- should be margin accretive in the second half, are they -- are the positives to revenue in terms of -- like things like code-share. Obviously, you've talked about the O&D revenue management. But are those really in the run rate by July? Or is there also sort of a positive phasing that's yet to come as we move through the year to balance the negative arithmetic of...
Gary C. Kelly: I think it's both. So I think there are -- you'll see an increasing mix of more seats per departure, which should continue to enhance the margin as time marches on between now and the end of 2015. And again, between now and then, the major contributor is probably -- again, I'm just thinking out loud with you, but it's probably going to be the 717 retirement in favor of replacing it with 737. So that's point number one. Point number two is that you have yet to see the real benefits of the network optimization and also the maturing of the transitioned AirTran markets into Southwest. So we've put a lot of chips on that initiative, if you will, and we're just now getting started with that in the second quarter. So we're looking for and expecting an uplift from that from second to third and then more again from third to fourth. We've been talking a little bit this afternoon about Atlanta as an example. So Atlanta is a visual out there that happens in November. And again, I think what I was alerting you to, that, initially, there might be a little hit there from Atlanta but it's all being done with the thought that you're going to have a much better revenue-producing route system in Atlanta once we made that change. So those are just sort of examples of things that we'll continue to roll out. Tammy, do you have some other color you want to add there?
Tammy Romo: Yes. The only thing I would add on the run rate for RASM is, as Gary mentioned, the impact of the increase in seats per trip probably had about a 1- to 2-point RASM impact here in the second quarter. It's probably closer to 2. And in the second half, I think that would soften a bit simply because we had some up-gauging in the second half of last year. So it should ease a bit as we go in the second half, but there will be still some impact.
Gary C. Kelly: And I can tell you understand all this very well. But just to make sure we're not confusing anybody else, as to the question from a business perspective of whether up-gauging the fleet is working and oh, yes, I mean, we've got more than ample evidence that, that is the fact. The -- as I mentioned, the 800s, we're filling those extra seats. And we're filling the 800s at a higher rate than our normal system average. So we can tell you exactly what revenue was generated on the 800s. And then the same is true for the 700 Evolve aircraft. My recollection is, Tammy, we've added -- you know, David, that we've added 6 seats per aircraft and I believe that we filled 3.6 seats out of those 6. And it's virtually -- the incremental cost of that is virtually nil.
Tammy Romo: Right.
Gary C. Kelly: So the business side of it, the profit side of it is all there, it's just how you measure some of these metrics on a per available seat mile basis. It can get a little distorted, which sounds like you understand perfectly.
David E. Fintzen - Barclays Capital, Research Division: Exactly, exactly. And just one real quick nit. The 64 300s on Evolve, that sounds like the same number. I just can't remember. I thought you had said the 300s are -- some 300s are going to Evolve. Is that more 300s? Or is that just a repeat of the numbers?
Gary C. Kelly: Well, our plans are unchanged. I think...
Tammy Romo: 78.
Gary C. Kelly: Yes, I know. And I think just when we shared that with you, I'm not sure. But there -- Tammy is reminding me. There are 78 300s that we consider to be eligible for the Evolve seating just based on the time that we intend to keep them before retirement. And we've retrofitted 14 of those with 64 to go.
Operator: We'll take our last question from Jamie Baker with JPMorgan.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Tammy and Gary, I realized synergies are somewhat in the eye of beholder, I suppose, but you did cite a $90 million figure for the second quarter, as I recall. And just for kicks, if we take that out of your operating profit, then things seem to have gotten quite a bit worse year-on-year, I mean, like down 20%. And of course, fuel guy -- fuel was the good guy year-on-year. So you've got other airlines out there with no synergies that still achieved improvement, so doesn't it imply that the core operation at Southwest is, I don't know, rather ill? I mean, I'm sure you disagree with that characterization, but the second quarter numbers paint a very discouraging picture.
Gary C. Kelly: Well, I think that's a fair question and I -- but I think, really, your first statement is the most appropriate, which is it's really hard to think about these pieces in a disconnected way. I mean, the whole organism has to -- it takes everything for it all to hold together here, and I think that's a very fair assessment. There's definitely an impact on the revenue performance at Southwest and everybody else from the economy. So we're not out of line with everybody else. Relative to thinking about these baselines, Bob Jordan and I were talking about this earlier this morning. Baseline -- nothing ever stays the same. So whether you're comparing us to brand x or brand y, everybody is continuing to do things plus or minus to themselves in addition to what's going on with the water level. So I would agree that all that's hard to piece apart. We know that there are some penalties in our current route system that are being incurred because we're still suboptimized. It's more visible to us today, in other words, than it was last October for the second quarter where we are underperforming in certain markets. And also, we actually have a fairly large number of brand-new markets which I would put into the developing category, and we're expecting them to develop rapidly. So those, Jamie, are some of the offsets, if you will, to all the good guys that we've been listing. But it all falls into the same description of we need to continue to take this combined route network and optimize it. So the base business, if you think about same-store sales where we get all the noise out, our same-store performance looks quite good. So I would actually take it in reverse. If we didn't have all this noise, gosh, we would have really good results. But in any event, we're very confident that these new markets that we've established -- Bob, what is an example of a new city pair? Just so Jamie knows what we're talking about here.
Robert E. Jordan: Well, we've got a mix of markets that are new, again, as Gary mentioned before, coming from AirTran and then a mix of markets that are new to Southwest Airlines. A good example is adding -- routing this Houston-DCA route here.
Gary C. Kelly: Out of Flint, Michigan, we were flying to Atlanta. Now we're flying...
Robert E. Jordan: When you're flying to Atlanta, you're going to Baltimore.
Gary C. Kelly: We're now going to Baltimore. So that Flint to Baltimore is brand new to all of us. And that is a -- we have to treat it like a new market and we expect it to develop very rapidly.
Robert E. Jordan: We fully expect, particularly with this deal in the connecting network we've got behind Baltimore, that the Flint -- that Flint route will do very well because you've got so many additional places you can connect to, but it does. Again, it's a new market because folks in Flint have to learn that they can -- that that's the schedule they have to...
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Yes, but -- I mean, guys, the airlines have new markets all the time and I just have to push back on the comment that you're in line because you're out of line. I mean, I guess, you have company with JetBlue here, Gary. But everybody else, even with your synergy figures, everyone else got better in the second quarter and you didn't. Well, I don't see how that's in line. But I mean, again, it's, I guess, it's subject to interpretation.
Gary C. Kelly: Well, I've answered your question. So it's very -- it's a fair one. We have a lot of things going on that are good, and we have some things that are offsets, and we also have the economic drag. But that's the answer. And in fact, we have a lot more new markets under development right now than I think any of us would like. But we want to get this transition done obviously and get to a point with the route network that is productive. So if they don't perform, we'll simply continue to make those adjustments and eliminate the flights that don't perform in lieu of better market opportunities. And what that also ties directly into is that we need to be very mindful of our capacity plans for 2014, and we do have a more cautious outlook for 2014 based on current results.
Operator: And at this time, I'd like to turn the call back over to Ms. Brand for any additional or closing remarks.
Marcy Brand: Thank you, Tom, and thank you all again for joining us today. And if you have any additional questions, of course, we will be available to take those calls this afternoon.
Operator: And ladies and gentlemen, we'll will now begin our media portion of today's call. I'd like to first introduce Ms. Linda Rutherford, Vice President of Communications, Strategic Outreach.
Linda B. Rutherford: Good afternoon, everyone. If you'll just take a moment to view the question for the team here and queue up. The operator will give you instructions to do, so we'll take your questions.
Operator: [Operator Instructions] We will now begin with our first question from Terry Maxon with the Dallas Morning News.
Terry Maxon: I got a couple of questions about the LaGuardia incident. I know you can't say what happened. First of all, is there -- have you learned anything in the 3 days since that has caused you to do any inspections or have any type of reaction with the rest of your fleet? And secondly, their plane looked certainly reparable. So the question simply, can that -- how soon will it take to get that airplane back into service?
Gary C. Kelly: Terry, great questions. I just can't talk about any of that at this point. So we're obviously very pleased and very thankful that there were no serious injuries. I was very proud of the response that our folks had in safely evacuating the aircraft. The first responders in New York did a fantastic job, as did the Southwest employees in New York. So I can speak about that. But anything about the situation or the incident, I just can't talk about. NTSB, obviously, is, as usual, leading this investigation. We're in full support of that. We should have a lot of information and data to get all the facts that make good judgments about whatever we need to do, if anything, to make changes going forward.
Terry Maxon: The second part of that question, any question about whether or not that hull can be put back into service?
Gary C. Kelly: I would put that in the same category. I think it's a bit premature for me to make that assessment. But obviously, by the NTSB's report that they're going to investigate, they'll do a full investigation. There's damage to the airplane and we're going to need to be thoughtful about that. Mike, is there anything you want to add?
Michael G. Van De Ven: Yes. We just have access to the airplane over the last day or so. So we'll have a group of people from Boeing come. They'll look at airplane, give us some alternatives, and then we'll decide where to go from there.
Operator: And we'll take our next question from David Koenig with the Associated Press.
David Koenig: In the line items, fuel was down, you saved money there, labor was up almost as much. Maintenance was another line that was down. And I'm wondering how you were able to cut down out of maintenance. Is that from outsourcing? And also, are labor costs part of maintenance? Or is this just kind of hardware that's in that line item?
Gary C. Kelly: That's what's referred to as maintenance materials and repairs. So the Southwest employees are in the salaries, wages and benefits line. The repairs would include outsourced labor, if you will. So if we -- as we have done traditionally, we outsource our engine maintenance, so any labor cost that's embedded in that would be in that line item. Maintenance inherently will fluctuate. One activity that was completing during the second quarter is our Evolve seating retrofit. Some of those costs are capitalized. Some of them run through the expense line. But I would expect that spending to ease as we go forward. Last year was pretty high in terms of our maintenance spending because we were ramping up that activity. But in particular, Tammy, you want to speak to some of the other maintenance cost changes besides that in the second quarter?
Tammy Romo: Sure, I'll be happy to. Yes. And a part of it is, of course, we are retiring our Classic fleet as part of our fleet modernization efforts. And as a result of that, we are seeing fewer engine repair costs. Those are accounted on, as Gary said, on a time and materials basis. So a lot of that is just timing of when the engines fall in the quarter. So we had a little bit lighter spending this year versus last year. But I think those were the primary drivers.
David Koenig: And when one of your rivals mentioned yesterday, one thing they trying to do to cut costs was to reduce the number of spare engines because of the ease in the access to repairs and the quicker turnaround and that kind of thing. Are you doing anything like that? Are you able to go with a -- go a little lighter on spare engines because of the turnaround?
Michael G. Van De Ven: This is Mike. We -- all of our engines in our fleet are GE engines, and we have agreements with the GE on spare levels that are acquired. And those spare levels do take into account the engine turns, the availability and access. So we're very, very comfortable with the spare levels that we have to support our fleet. And I would -- I believe they're some of the most efficient in the industry.
Operator: We'll take our last question from Kelly Yamanouchi with the Atlanta Journal Constitution.
Kelly Yamanouchi: I'm interested in finding out how the transition of the route network in Atlanta is affecting your efforts to attract new customers and more business through the acquisition of the Atlanta market. Are you still going full steam ahead? Or is there -- are there challenges in attracting more business for Atlanta?
Gary C. Kelly: Kelly, I think it's premature. I think what has happened since we've acquired AirTran in '11 until now is we have seen a significant increase in nonstop traffic, and we've been very pleased with that. The change that you're referring to though is more material, and the schedule doesn't start flying until November.
Kelly Yamanouchi: I see. Okay. Any changes in the view of the potential, the long-term potential, for the Atlanta market since the AirTran deal was announced, whether due to macro factors or otherwise?
Gary C. Kelly: Well, absent macro factors, no. The -- actually, I've been very pleased with the Atlanta response up to this point. I think it's been terrific. And we just got to work our way through the transition to a different style of flight schedule. And obviously, we've put forth a meaningful marketing effort locally, and I would want that to continue. So I think we have a great opportunity there. I think we've been very warmly embraced by the community and just looking forward to the day where it's all fully integrated into Southwest Airlines. So that will -- we're right on track with that. It's going to take us until the end of next year, but very much looking forward to that, and I have very high hopes for the Atlanta market.
Operator: And at this time, I'd like to turn the call back over to Ms. Rutherford for any closing or additional remarks.
Linda B. Rutherford: Thank you so much. As usual, if you all have any follow-up questions, you can reach our Communications Department, (214) 792-4847 or via swamedia.com. Thanks so much.
Operator: This concludes today's call. Thank you for joining.